Kurt Levens: Good morning, and welcome to the second quarter of 2023 earnings release of REC Silicon. My name is Kurt Levens, and I'm the CEO. I would like to -- before we get going, I'd like to remind everybody that if you have questions, please feel free to feed them in, and we will answer the questions at the end of the presentation. In the second quarter, our revenues were up 26% versus the previous quarter, primarily driven by increased silicon gas sales and some higher semi grade polysilicon prices due to mix effects. This also resulted in a positive EBITDA contribution from our semiconductor segment, again, driven by the volumes as well as seasonal lower energy cost. The semiconductor market during Q2 appeared to be stabilizing. And even though it's at a lower level, there's still a lot of visibility in terms of the orders flow. PV Poly itself remains weak and is also, to some degree, stabilizing. We signed loan agreements totaling $140 million during the quarter for the purposes of repayment of the bond and Moses Lake restart and Butte investments. Looking forward, I think from highlight of this quarter is that we expect that the FBR offtake agreement will be completed within the next month. And we are continuing discussions with silicon anode material producers as well as potential channel partners. And our Moses Lake restart is on track. And currently, the target is November 1 for start-up. Our revenues were $36.7 million, our EBITDA was negative $8.5 million, primarily impacted by the restart activities out of our Moses Lake activity and restart, as well as the positive EBITDA from our Semiconductor Materials segment. In our Semiconductor Materials segment, as noted before, we had an increase in our revenues versus the previous quarter. Our polysilicon sales volume was relatively flat. However, our polysilicon sales price increased over 60%. Again, this is due relative to the mix effects. Silicon gases increased over 32%. However, due to mix effects, there was a price decrease overall. Cash flows were $34.1 million decrease, ending at $15 million as of June 30. This was primarily affected by negative EBITDA, interest payments and cash outflows from our capital expenditures. Nominal debt, $213 million. Nominal net debt, $198 million. In our Semiconductor segment, silicon gases, we shipped 849 metric tons total. You can see that this, in fact, was the highest total since last year in Q2 before we entered into the period of softness. This is primarily due to the fact that inventories are beginning to be taken out of the system and there was some restocking. In addition to that, we have been enacting strategy of moving into markets which are -- have less barriers to entry, so to speak, where we can move our material into them during periods of weakness of our primary semiconductor market. So that has been to allow us to capture some volume albeit some of those segments have lower ASPs. It appears in the semiconductor market that according to industry participants, both our distributors and end users as well as third-party economists and others that follow it that we are at or near stabilized bottom for now. And we see that in terms of what we expect with regards to orders kind of going forward and orders that we were able to achieve in this quarter. So it's not necessarily a positive indication that we expect it to turn up. However, by all indications, it looks as if we've reached a stable situation. For the advanced gases that we have that go into advanced logic devices and memory devices, there has entered into a kind of a new regime of inventory drawdown. We are seeing some decreased orders, and we expect those to remain through 2023. However, as I stated in the last quarter, it's still the same fundamental issue that we know. Really, our opportunity hasn't changed. Our assets are still being used in advanced technology nodes. There's more fabrication facilities coming online and being invested in right now. There's -- none of those have been backed off. So as we move through this period, we are using it to -- as I stated previously, to invest and finish our investments in things such as our DCS capacity, which will be coming online in Q3, and we expect to begin qualifications on this year so that we're ready when the market bounces back. In polysilicon, again, we had a situation where, yes, we did increase over Q1. However, the price increase was primarily driven by base effects. CZ Polysilicon demand is soft. We have noted that not just the demand from, for our materials. However, we have noted that from other -- from wafer manufacturers as well in terms of their ordering patterns right now, which is aligned with the fact that silicon wafer demand in the semiconductor industry is relatively muted right now. FZ Polysilicon, on the other hand, is stable. We have a lot of visibility in terms of demand for that going out multiple quarters. The challenge in polysilicon, as noted before, is that we need to find ways to mitigate effects of this regional electricity shortage or imbalance. Right now, we're balancing production with periodic electricity costs, trying to utilize more favorable periods. In addition, we have increased prices further from where they were before, and those will be going into place over the next few quarters. In addition to that, we hedged a portion of our electricity demand in order to shield us from some level of seasonality that we expect to see going forward over the next 6 months or so. In addition to that, we continue to evaluate mid-term solutions to this issue. And everything as of now is still on the table from how we are going to procure electricity to what products we may stay in due to their sensitivity to electricity in the midterm. And additional, we are still evaluating longer term solutions as well, those beyond 3 years. In the PV polysilicon market, as many of you probably noted, there is some significant weakness in the Chinese market. It has stabilized now, and we see where it is. In some cases, we see some transactions that are up slightly. And the outside of China polysilicon price has also come down. However, it is still trading at a premium to the -- inside of China price. And for those who recall how our MOU was set up, in fact, there is some benefit for us due to the fact that we are outside of China, and it is expected that, that market will remain a bifurcated market from the Chinese market going forward. There are a lot of new plant expansions in China. We'll have to see. Some of them have already started to temporarily shut down. Some have started to be deferred. And again, we'll continue to monitor those and see what the effects are. And companies in the United States continue to make announcements on new module and cell expansions, which will be good for our business, both from polysilicon and Silane. The Moses Lake restart is currently one of our -- if not our top priority. Right now our modified FBR reactors are ready for start-up. We have done a successful FBR reactor inert trial run. So we are ready to -- once we begin to flow chemical to begin the process of starting up. Our Silane unit modifications are to be mechanically complete in September. We've completed all mechanical integrity inspections on them for the Silane 3.0 unit. We have ongoing work in our product handling systems and to be done in October, and we've already started testing and recommissioning of some of our equipment in sections that are already, have been through the process, isolated and getting them ready for start-up. Our activity continues in line with the plan, and we fully expect to have our full complement, sufficient for us to operate the start-up of the plant. 86% of our project budget has been spent or is currently under contract. So the amount of unknown unknowns is much less as we move towards the completion of this project. So updates on our foundational activity, as we call it. In terms of contracts, as I noted in the intro, our FBR polysilicon offtake agreement with Hanwha is expected to be completed within the next month. We are under -- both parties are under final internal reviews. We continue supply discussions with the silicon anode producers as well as with Hanwha Corp and other channel partners. From a financing perspective, we have -- not only did we signed $140 million. Subsequent to that, we signed another $100 million 3-year term loan that we finalized in July. And we are currently working on the final tranche of our financing, which is $40 million, and we expect that to be in place by the end of Q3. Moses Lake, as noted before, will start up on November 1. Also, as I hit upon somewhat, we are continuing to evaluate the Butte electricity situation in our product portfolio. As I've noted before, we will be finished with that at least with the mid-term part of that evaluation here within the next few months. DCS expansion is mechanically complete and starting up this month, and we already have targets and customers that are online for qualifications. The Yulin JV share sale process continues to be extended. That has been affected primarily by our partner. And they are, at this point, driving that. However, it is ongoing, and we continue to really to have the extensions going on as the process is going on. The CHIPS Act is now evaluating funding that's available for suppliers of materials, key materials to the semiconductor industry. They announced a program of a certain level and now are -- have said that they will be back out at the beginning of next year with a program for smaller investments as well. We'll be following that as there may be some opportunities for us to share in that particular program as well. So in summary, well, unfortunately, we are still overall a negative EBITDA. Our underlying performance was in line with the muted semiconductor market and the challenging regional electricity short market. We were able to secure the necessary financing for the Moses Lake restart and Butte upgrades. We are close within the next month in the process of final internal review of the offtake contract, and that's expected to be completed in the next month. And Moses Lake, date for restart is November 1. So that is all that we have to present. Thank you very much, and we'll see you in November or prior to that, I believe we will be participating in some events in which we would be presenting REC Silicon at some investor events. So I'll open it up for questions.
A - Unidentified Company Representative: Okay. So moving on to the submitted questions. And these -- you touched on and discussed in your presentation -- I'll run through these. Can you elaborate further on how the sale of the Yulin JV is progressing?
Kurt Levens: Yes. I mean the fact is, is that we are -- we have offered our shares as part of that process. And we are, in this particular case, moving in this process with our JV partner. So as I explained, they continue to voluntarily extend the process so they can continue discussions, and that's where we are at.
Unidentified Company Representative: And we have a few questions related to this. So I'll try to kind of combine them. But can you add some clarification to the price of polysilicon inside of China and outside of China? And what REC may expect to see in regard to the offtake agreement? Would it be closer to the inside or outside of China pricing?
Kurt Levens: Yes. As I indicated before, what we're going to have are 4 indices that we utilize. And then some of those will be inside of China, some of those outside of China. And then we will have a negotiated outside-of-China premium as well that is fixed and attached to that. So I will not say that it will be closer to one or the other. But the fact is, is that it will not be absolutely one or the other.
Unidentified Company Representative: Okay. So moving on to the questions related to the semiconductor segment or the Butte facility. Can you say something about the -- further expand on the higher selling our silicon gas sales volumes during the quarter and will we expect to see those higher levels for the balance of 2023?
Kurt Levens: Okay. First, the first part of that is that the reason why we had higher levels was due to the fact that stabilization in the value chain, in terms of inventories meant that inventory drawdown had gone to the point where they began to replenish again, albeit at a lower level than what it was before. That was one factor. The second factor was the fact that we have begun to sell into other markets that we traditionally are not our primary markets. So we're moving product because of the fact that we have the capacity and the containers. And it made sense for us to do given the weakness in the semiconductor work. So that market given the fact that there's less barriers to entry, it's very easy to move in and out of, particularly when you have a preferential product like ours. So we are selling more into there. Hence, why you also see some dilution to our ASP as a result of that. However, it gives us higher volumes. On the second part of that question, Well, I don't know that it will be at exactly the level where we're at now, I mean, where we just came out of in that quarter. The forwards what we expect are higher levels than what we've seen in the previous 2 to 3 quarters though. So what we've seen is that there was a bump up here due to some inventory replenishment and now that we're selling into this different marketplace, we've seen a sort of a stabilization that we expect, but it will not necessarily be at the level that we're at in Q2, but it will be above what we've been doing previously.
Unidentified Company Representative: Okay. And to go along with that, do you expect the Butte facility or semiconductor segment to be EBITDA positive for the rest of the year?
Kurt Levens: I will just say that while I expect our sales profile to be strong and in line with what I just described, we still have a challenging electricity issue. So within that, there are some -- even though we've taken measures to mitigate, there is still some level of risk to our EBITDA. So that part of the mid-term solution, we haven't fully fixed yet, but we're working on it.
Unidentified Company Representative: And switching gears to silicon anode manufacturers, it's known that there are multiple manufacturers getting close to REC Silicon and Moses Lake. And is there any plans for REC to expand capacity for these facilities?
Kurt Levens: I would say, as I've said before, if anyone is going to be building silane plants, we would love to build silane plants. If the opportunity is there and the commercial arrangements are there, absolutely. We have enough land. And as we had indicated before, we are looking at getting more land. And if there are opportunities for us to expand in order to supply, we would do that, but it all starts -- that's really kind of in the counterparty's area of decision as well. So we're open.
Unidentified Company Representative: Are you willing to further elaborate on the signing of the offtake agreement with Hanwha. You stated it was within approximately 1 month from now or any further guidance there.
Kurt Levens: The only further guidance would be that it is in line with the MOU that we had previously made public, and we've been working on all of the other detailed provisions of the contract in the meantime, so...
Unidentified Company Representative: Okay. So one question here regarding our ending cash balance for Q2, and what steps will be taken or have been taken to ensure good cash position in the balance of the year.
Jeong Yun: Yes. So it's -- I mean, as you may be aware, that we done with the closing of the $100 million in the last month. So its current position, cash position is around, I mean, $98 million and there so we want to expect to receive some push of the uptick, the prepayment when we signed the contract -- of the contract. So we think that we've got a sufficient cash flow to support our U.S. operations.
Unidentified Company Representative: And a few more questions. We're willing to give an EBITDA update on our guidance on EBITDA once the offtake agreement with Hanwha is finalized.
Kurt Levens: At this point, that's not something that we would be doing other than outside of when we would be reporting.
Unidentified Company Representative: And additional question back to silicon anodes, what kind of sales price of the gas would we expect from silane sold to an anode manufacturer?
Kurt Levens: Yes. We haven't discussed that. And at this point, the reason why we won't is that we're ongoing with discussions, with different manufacturers. In addition to that, given our position in the marketplace, I think discussing prices in a public sense is we don't want to send any signals, that could be misconstrued.
Unidentified Company Representative: You've addressed most of these questions. One question that just came in is REC exploring any possibilities of expanding in Europe to take advantage of the EU's response to the higher rate?
Kurt Levens: At this current moment, we don't have any initiatives in Europe because we are wholly focused on getting Moses Lake up and running and making sure that the current investments that we have in place are actualized, running and qualified at both of our locations. Having said that, if there are -- again, if there are opportunities for us that make good investment sense for our shareholders then, and we're in a good cash position as we expect once we're up and fully running. And I think that, that is something that we would want to look at.
Unidentified Company Representative: And one last question here relates to semiconductor grade polysilicon and you expect the sales levels to remain where they were for the second quarter for the next 2 to 3 quarters.
Kurt Levens: So our current expectation is that it will remain similar to what it was with potential for a little upside. It's -- again, as I've stated, we are making sure that we are doing what we can to mitigate periods of high power. So that could affect. However, when we look at the strong visibility that we have and the backlog that we have, it would certainly support those volumes are higher.
Unidentified Company Representative: I think you have addressed all the questions that have come through. No further questions.